Operator: Good day, ladies and gentlemen and welcome to the Universal Display Corporation fourth quarter financial results conference call. Today's conference is being recorded. Today's formal comments will be followed by a question-and-answer session. At this time, I would like to turn the conference over to Mr. Paul Johnson on behalf of Universal Display. Please go ahead, sir.
Paul Johnson: Thank you, Keith. And thank you and good afternoon, everybody. Thanks for joining us today. With us today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Chief Financial Officer of Universal Display Corporation. As always, let me begin today by reminding you that this call is the property of Universal Display. Any redistribution, retransmission, or rebroadcast of this call in any form without the express written consent of Universal Display is strictly prohibited. Further, as this call is being webcast live and will be made available for a period of time on Universal Display's website, this call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, March 15th, 2010. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include, but are not limited to, statements regarding Universal Display's beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. Those – these risks and uncertainties are discussed in the company's periodic reports filed with the SEC. Universal Display disclaims any obligation to update any of these statements. With that out of the way, I'd like to turn the call over now to Steve Abramson, President and CEO of Universal Display. Please go ahead, Steve.
Steve Abramson: Thank you, Paul and thank you to everyone for attending today's call. Sid Rosenblatt and I will be reviewing the financial results for the fourth quarter and full year, as well as providing you with some insight into the OLED industry and our business. As always, we will have a question-and-answer session following our formal comments. Our revenues for 2009 were $15.8 million, the highest annual revenues in our history. Our growth in 2009 reflects the increasing acceptance of active-matrix OLEDs in the marketplace and the growing adoption of our Universal PHOLED technology material. Energy conservation and eco-friendliness continue to be major themes in three key high-growth sectors for OLEDs; mobile devices, television, and solid-state lighting. Our Universal PHOLED technology materials are, we believe, central to enabling this performance. According to Display Search, active-matrix OLED display revenues more than doubled this year, growing from $234 million in 2008 to over $500 million in 2009. Samsung SMD, our longstanding partner, material customer, and licensee, continued to lead the industry. Their AMOLED displays using a Universal PHOLED technology material were featured in an expanding variety of exciting new mobile products. These included the Google Nexus One smartphone, Microsoft's Zune portable media player, and an array of Samsung cell phones, products that entered the market to rave reviews. This year, AMOLED TVs also move closer to commercial reality as a range of beautiful TV prototypes from Samsung and others were demonstrated. LG Display, another longstanding partner of ours, announced the launch of a 15-inch AMOLED TV in Korea in 2009 with plans to introduce the product in Europe in early 2010. They also announced plans to install new manufacturing capacity for AMOLED displays for portable products in 2010. Sony continued to demonstrate AMOLED TV prototypes, unveiling a 24.5-inch 3D AMOLED television at the Consumer Electronics Show in January 2010. Adding to this momentum, AU Optronics announced it was resuming OLED development activities. AUO showed a range of OLED product prototypes for portable electronics and TVs using our PHOLED technology materials at the 2009 FPD and Green Devices Exhibition and Symposium in Yokohama, Japan. White OLEDs for lighting clearly gained momentum in 2009 based on their potential to dramatically reduce nonrenewable energy consumption and lower greenhouse gas emissions. We announced technology license agreement with Showa Denko for solution process white OLEDs for lighting applications. Other companies, including our licensee Konica Minolta and our collaboration partner LG Chem advanced commercialization plans for white OLED lighting products. Offering state-of-the-art technology materials and expertise is a hallmark of our global business. We have invested approximately $200 million in OLED research development and technology since our inception. This year, we continued to make significant gains, setting new performance records with a Universal PHOLED material system for use in vacuum deposition and solution processing equipment. We also achieved a number of white OLED performance milestones during the year and we expanded our efforts to transition these large-scale results towards commercial-size devices. We were again honored for these achievements by the U.S. Department of Energy at its Annual Solid State Lighting Workshop. To better serve our customers, this year we obtained ISO 9001 certification for the quality management systems of our Universal PHOLED material business. We also continued our strong partnership with PPG Industries, a world leading coatings and specialty products and services company and exclusive manufacturer of our proprietary materials. At the same time, we leveraged our global network of strategic material partnerships and universal collaborations to hasten the delivery of high-performance PHOLED material systems and state-of-the-art technologies to our customers. Our team continues to develop state-of-the-art flexible OLED demonstrators for delivery to the U.S. Departments of Defense and Energy. In collaboration with LG Display, L-3 Communications Display Systems in Arizona State University, these efforts enhance our drive to bring flexible OLED display and lighting products to market. Technology licensing, Universal PHOLED materials sales, and technology development transfer and support services are three core elements of our business model today. Each of these complementary elements fulfills the distinct needs of our business. Combined, these elements uniquely position us to serve our customers and to sharing the expected prosperity of these high-growth markets for OLEDs. We begin 2010 with an outlook full of promise. The OLED display and lighting markets are growing with an increasing number of major manufacturers adding capacity and developing novel and exciting products. With an experienced team, over 1,000 patents issued and pending worldwide, and cutting-edge OLED technologies and materials, we are prepared to support them. Given our strong strategic focus of financial position, Universal Display is well poised for the future. In sum, we are extremely pleased with the progress we made in 2009 and the projected growth of the OLED market in 2010. Small-area AMOLED displays are seeing increased consumer adoption, larger-area AMOLED display volume production is around the corner, and OLED white lighting is poised to revolutionize the solid-state lighting industry. We believe that Universal Display and our PHOLED technology materials are ideally positioned to capitalize on this growth. And with that, I'll turn the call over to Sid.
Sid Rosenblatt: Thank you, Steve. And again, thank you, everyone for joining us on the call today. I will begin today by briefly reviewing our results for the fourth quarter of 2009. Then, I will give a more detailed presentation of key financial results for the full year of 2009 including net loss, operating expenses, and cash used on operating activities. We will then turn the call over to the operator for your questions. Revenues for the fourth quarter of 2009 totaled approximately $4.9 million compared to $3.6 million for the fourth quarter of 2008. Quarterly revenue for 2009 was $2.8 million in the first quarter, $3 million in the second quarter, $5.1 million in the third quarter and $4.8 million in the fourth quarter. In the third quarter, we recorded $1.5 million of revenue from Kyocera. Without this event, revenue would have increased each quarter during 2009. Total commercial revenue for the quarter was approximately $1.9 million compared to $1.4 million for the fourth quarter of 2008. Total development revenue for the quarter was $3 million compared to $2.2 million for the fourth quarter of 2008. Operating expenses were $9 million for the quarter versus operating expenses of $9.4 million for the fourth quarter of 2008. Operating expenses for the quarter were within the range we expect to see on a quarter-to-quarter basis with R&D representing the largest expense component. Our net loss for the fourth quarter of 2009 totaled approximately $3.8 million or $0.10 per diluted share compared to a net loss of approximately $4.4 million or $0.12 per diluted share for the same quarter of 2008. The improvement in the net loss was attributable to an increase in revenues during the quarter, as well as a decrease in operating expenses. For 2009, our revenues totaled $15.8 million compared to $11.1 million for 2008. This translates into a 42% increase in revenues year-over-year. Commercial revenue increased to $6.1 million for 2009 compared to $5.6 million for 2008. The increase in commercial revenue was attributable to an increase of $765,000 in royalty revenue, which mainly represents royalty received under our patent license agreement with Samsung SMD. We also saw an increase of $525,000 for commercialization assistance revenue under a business agreement executed in the fourth quarter and an increase of $180,000 in license fees, primarily due to a patent license agreement we entered into with Konica Minolta in August of 2008, a joint development agreement we previously entered into with a subsidiary of Konica Minolta, and two other agreements we entered into during the fourth quarter of 2008. Although commercial revenue increased overall, commercial chemical revenue decreased by $982,000 for 2009 compared to 2008. The decrease resulted from a lower volume OLED material sales to Samsung SMD. Our understanding is that this lower sales volume was due to SMD's implementation of manufacturing process efficiencies, improved material utilization, and efficient and improved device structures, offset in part by increased production volume. We cannot accurately predict our future material sales to Samsung SMD or other customers as they frequently update and alter their product offerings in response to market demand. Development revenue increased to $9.7 million for 2009 compared to $5.4 million for 2008. The increase in development revenue was mainly attributable to an increase of $1.8 million in technology development revenue due to recognition of a previously received non-refundable payment of $1.5 million that we received from Kyocera Corporation, an increase of $1.6 million in contract research revenue due to the timing of work performed and cost incurred in connection with several new and completed government contracts during the year. Development chemical revenue also increased by $851,000 for 2009 compared to 2008. This was mainly due to increased purchases of the development chemicals by a customer transitioning its OLED activities from development to commercial production. Let me provide a little more detail on the payment and relationship with Kyocera. The $1.5 million payment from Kyocera had previously been received and classified as deferred revenue because it was creditable against a portion of the upfront fee under our license agreement with Kyocera. As we have discussed in the past, we were notified by Kyocera that its OLED subsidiary was being dissolved and confirmed that the license agreement would not become effective. Therefore, we recorded a $1.5 million payment as technology development for the third quarter of 2009. We had an operating loss of $20.3 million for 2009 compared to an operating loss of $22.7 million for 2008. The decrease in the operating loss was primarily due to an increase in revenue of $4.7 million, offset in part by an increase in operating expenses of $2.3 million. Our net loss for 2009 totaled $20.5 million or $0.56 per diluted share compared to a net loss for 2008 of $19.1 million or $0.53 per diluted share. While the operating loss did improve during 2009, the increase in net loss was due to a decrease in interest income of nearly $2 million, a loss on stock warranty liability of $1 million, and a decrease in income tax benefit of $833,000. Total operating expenses were $36.1 million for 2009 compared to $33.7 million for 2008. The increase was consistent with our overall expectations for the year. Research and development expenses were $20 million for 2009 compared to $18.9 million for 2008. The increase was primarily due to higher costs associated with subcontractors and consultants under our government contract and increased employee costs. Selling, general, and administrative expenses remained relatively consistent over the past three years. Interest income decreased $700,000 for 2009 compared to $2.6 million for 2008. The decrease is mainly attributable to decreased rates of returns on investments during 2009 compared to rates of return during 2008. Cash used in operating activities totaled $14.6 million for 2009 compared to $7.8 million for 2008. The increase in cash usage was mainly due to additional loss of $2.6 million, $2.2 million less in cash payments from various customers for license rights and/or development work, and the timing of receipt of $839,000 in accounts receivable, and the timing of payments of $832,000 in accounts payable and accrued expenses. Our balance sheet remains strong with cash, cash equivalents, and short-term investments of approximately $63.9 million as of December 31st, 2009 compared to approximately $77.5 million at the end of 2008. With that, we will now open the lines up for questions. Operator, can you please compile a list of questions for the Q&A roster?
Operator: (Operator instructions) We'll go first to Jim Ricchiuti with Needham & Company.
Jim Ricchiuti – Needham & Company: Hi, good afternoon.
Steve Abramson: Hi, Jim.
Sid Rosenblatt: Hi, Jim.
Jim Ricchiuti – Needham & Company: I wondered if you can talk a little bit about the commercial – the outlook for the commercial portion of the business in 2010. Is there any – can you tell us for instance if – do you anticipate seeing commercial revenue from AU Optronics during the year?
Sid Rosenblatt: Well, we've – to answer your specific question about AU, they have stated they intend to start shipping products in 2011. They are purchasing equipment and they say they will start. We would anticipate selling material probably towards the end of the year whether it is commercial or development, it really depends on where they are in terms of installing their equipment and shipping products. So their public announcement talks about products being shipped in early 2011.
Jim Ricchiuti – Needham & Company: Got it. Sid, any sense you can give us as – how you see the revenues through the year from LG given where you think they are in increasing their capacity?
Sid Rosenblatt: Our understanding from LG and from the public announcements from LG is that the second half of this year is when they will start shipping commercial products out of their new Gen 3.5 line. So we would expect commercial sales of material to them to start to grow in the second half of this year.
Jim Ricchiuti – Needham & Company: And then from a royalty standpoint, that might not begin to really kick in for you until early 2011?
Sid Rosenblatt: Well, our conventional license agreements have royalties that we get a report 60 days after the end of a quarter. So by the time we got anything, it would really be the end of the year.
Jim Ricchiuti – Needham & Company: Okay. And then one final question and I will jump back in the queue. You had a big increase in the quarter in –
Sid Rosenblatt: I'm sorry, Jim. I – somehow we lost you.
Operator: Jim, if you could signal by pressing star-one again?
Sid Rosenblatt: Jim?
Operator: And Jim, your line is open.
Jim Ricchiuti – Needham & Company: Yes, thank you. Sorry about that. I do have one final question and I'll jump back in the queue. It looks like – you had a big increase in development chemicals in the quarter. Can you talk a little about that? Are you seeing activity from new customers just – or is this – has it been concentrated with a handful of customers? Just curious about that.
Sid Rosenblatt: Well, we have a number of customers, but as we stated, increase is related to one of the customers that is transferring from developmental and gearing up to commercial production. We didn’t specifically state who they are, but I think you could figure it out.
Jim Ricchiuti – Needham & Company: Okay. Fair enough. Thanks a lot.
Operator: And we'll go next to Rob Stone with Cowen & Company.
Rob Stone – Cowen & Company: Hey, guys. I wonder if you could just spend a minute on where you stand with respect to existing license agreements, when significant relationships might or might not be up for renewals and the prospect for signing new licenses during 2010.
Steve Abramson: Well, Rob, as you know, we are constantly negotiating with all of our partners because this is an ongoing – as part of our ongoing relationship. That's the way they generally work. Our initial Samsung license agreement expires in June of this year and we are in negotiations with a number of players on additional commercial agreements.
Rob Stone – Cowen & Company: So the expiration of the agreement with Samsung, does it have any over and under in terms of – if you haven't negotiated a new deal by some date, it goes ahead on a – on some kind of short-term quarter-to-quarter basis or how does that work?
Steve Abramson: We can't really talk about anything beyond what's been publicly available. But generally, as you see the way we do business, we continue to work with our customers while we are negotiating relationships. We've been doing that with a number of customers over the years.
Rob Stone – Cowen & Company: Okay. Sid, you said that the Q4 expenses were more or less where you expected the quarter-to-quarter run rate to be. It looked like the expenses were actually a little bit less than I was expecting. Can you say – do you expect sort of a moderate up and down variation from quarter-to-quarter? What's the range in dollars you are expecting this year for OpEx?
Sid Rosenblatt: I think if you look at the year and divided by four, it's probably a better reflection of what it will look like next year. On a quarter to – normally in the fourth quarter, we do a lot of order adjustments and things like that and in this year, in terms of accruals and during the year, we probably did a better job of estimating some of the expenses that normally come into the end of the year. So the fourth quarter historically has been a little different either up or down from the other three quarters. But I would say if you annualize it, we don't expect expenses to grow across the board in any significant manner.
Rob Stone – Cowen & Company: Okay. And that's expenses other than – you classify the cost of chemicals sold under operating expenses instead of showing a cost of goods sold line.
Sid Rosenblatt: Yes.
Rob Stone – Cowen & Company: So I assume you are referring to everything else, but that cost.
Sid Rosenblatt: Yes. Well, that cost will grow as we sell more chemicals, obviously. That would be in proportion to the chemical sales.
Rob Stone – Cowen & Company: Finally, I was just wondering what is your outlook for contract research revenue, which you had a meaningful increase in that side of the business in 2009. What was the contract research figure, specifically in Q4 and how should we think about that for this year?
Sid Rosenblatt: Well, if you just add them – in Q4, it was about $1.4 million. And I think for 2010 – I think the 2009 number is probably a good number for 2010 based upon everything we know. I mean, sometimes there is timing issues in terms of when contracts are awarded and when the work actually gets started, but I think a $4 million to $4.5 million range for 2010 is what we expect it to be.
Rob Stone – Cowen & Company: Great. Thank you.
Sid Rosenblatt: Thanks, Rob.
Steve Abramson: Thanks, Rob.
Operator: We'll go next to Yair Reiner with Oppenheimer & Company.
Yair Reiner – Oppenheimer & Company: Yes, thank you. First question, can you talk about your gross margin in the quarter? It seems to decline from a – the kind of a normal 80% plus level.
Sid Rosenblatt: Yes, it really has to do with the mix of developmental versus commercial chemicals. Our developmental chemicals historically are higher as a cost because we do take a lot of the research cost and the scale-up cost in the developmental chemicals. Once they become commercial, we are making them in higher volumes so that a lot of the cost efficiencies and the numbers of grams that we make go up. So the cost usually goes down as we move towards commercial production. But because of the mix of developmental chemicals being more, you will see a larger number there.
Yair Reiner – Oppenheimer & Company: Got it. And then in terms of LG, it sounds like they are on the cusp of becoming a more serious commercial chemical customer. Have you already finished negotiating royalty deals with them and if so, can you talk about how those deals might compare to the economics you have with Samsung?
Sid Rosenblatt: Well, in the 10-K, we included an extension through the end of June for our material supply agreement, which includes a license fees. We are in the process, as Steve said, of negotiating with a number of customers and we really can't talk about what we are doing with them. We would expect at some point to sign a commercial license agreement with them, but we don't historically talk about royalty rates anyway.
Yair Reiner – Oppenheimer & Company: Okay, pretty good. Final question. In terms of your royalty and license fees, I guess those are based on the ASP of the panels that are sold within Samsung. Can you talk to us about the rate of ASP decline for AMOLED displays and where they are maybe – where they were in the fourth quarter relative to the fourth quarter of 2008?
Sid Rosenblatt: Well, in terms of what I can say that is given to us confidential, I can't, but I can tell you that the Display Search numbers, which we also look at, showed a small decline from the fourth quarter to the first quarter in the ASP of the modules. But what I have read from them, it looks like they expect them to go down, but clearly not at the same rate that they have done in the past.
Yair Reiner – Oppenheimer & Company: Okay, thank you.
Sid Rosenblatt: Thanks, Yair.
Operator: We'll go next to Darice Liu with Brigantine Advisors.
Darice Liu – Brigantine Advisors: Good afternoon, guys.
Steve Abramson: Hi, Darice.
Darice Liu – Brigantine Advisors: Hi, Steve. Can you give us an update on the progress of your green color? Last time you chatted, you mentioned you were still in evaluation. Anything changed there?
Steve Abramson: We are still moving forward with the green color. We are confident that it will be used in products, we just can't predict when.
Darice Liu – Brigantine Advisors: Are there any other benchmarks that you guys need to hit during the eval or are we just on the cusp of actually having your green material in products?
Sid Rosenblatt: We constantly have goals and requirements by the customer in terms of performance and we literally do whatever it is they ask and we make the technology and the materials, meet their specifications, and to some extent, their specifications are – is a moving target because their customers are always changing their requirements. So we are constantly responding and do everything that they ask us to do.
Darice Liu – Brigantine Advisors: Okay, so still work in progress. In terms of the competitive landscape, LG Electronics purchased Kodak's OLED technologies back in December. I was wondering if anything has changed in terms of your customer relationships, talk of – talk of maybe second sourcing from LG.
Steve Abramson: No, Darice. The LG Group did buy the patent assets of Kodak for OLED. But from our perspective, the industry is continuing to grow and we are still seeing continued and expanded interest in our technologies.
Darice Liu – Brigantine Advisors: And then in terms of solid-state lighting business, can you talk about some of the benchmarks that we should be looking for to gauge your progress into entering the lighting market?
Steve Abramson: Let's see. We've hit a couple of benchmarks already in terms of signing a license agreement with Showa Denko. The next set of benchmarks, I think, you should probably be looking for is increased lumens per watt on the pixel level and then expanded lifetime on a panel level. Those are probably some good technical benchmarks to look at. And there has been a number of – you are seeing a number of shows in which OLED lighting is being used or being demonstrated and I guess that's another good benchmark to see how the industry is reacting to OLED lighting.
Darice Liu – Brigantine Advisors: And just a quick follow-up. You mentioned those technical benchmarks, lifetime and lumens per watt on the pixel level. Can you talk about where you are right now and what the target is?
Steve Abramson: Well, our record lumens per watt is 102 lumens per watt that we demonstrated, I guess, about a year ago, which remains the world record. One of the things we are focusing on now is that was a pixel-level efficiency record. We are focusing on increasing the lifetime on the panel level. And I guess if my recollection is correct, the lifetime on that pixel was about 15,000 hours and what we are focusing on now is scaling up that technology to get to the panel level, panel level being about a six-inch panel.
Darice Liu – Brigantine Advisors: Okay. Thank you, guys.
Steve Abramson: Thanks, Darice.
Sid Rosenblatt: Thanks, Darice.
Operator: (Operator instructions) We'll go next to Jed Dorsheimer with Canaccord.
Jed Dorsheimer – Canaccord: Hi, thanks.
Steve Abramson: Hey, Jed.
Jed Dorsheimer – Canaccord: Just a follow-up to the last question. What was the brightness of the pixel?
Steve Abramson: We generally reported 1,000 net [ph].
Jed Dorsheimer – Canaccord: All right.
Steve Abramson: And I'm going with my memory, but that's probably where it was.
Sid Rosenblatt: Correct.
Jed Dorsheimer – Canaccord: And then one similar line in terms of solid-state lighting in sort of how we should look at this business on a go-forward. The LED industry struggled for a while and we saw some companies that needed to vertically integrate to push the product into the market. Any thoughts on whether or not – OLED seems to be a bit behind where the inorganics where and I'm wondering if you've given any thought to joint ventures or partnerships in terms of bringing the OLEDs to the solid-state lighting market.
Steve Abramson: Well, Jed, we've actually done a little bit of studying and talking to you as well on the LED market and the pitfalls and successes that they have had as we talk to our partners and develop our own strategy in terms of how we think it's best to move forward in this industry to most rapidly develop the market for OLED lighting. But at this point, we haven't made any firm decisions in any direction.
Jed Dorsheimer – Canaccord: All right. That’s all I had. Thanks, guys.
Steve Abramson: Sure.
Sid Rosenblatt: Thanks, Jed.
Operator: We'll take our next question from Jim Ricchiuti with Needham & Company.
Jim Ricchiuti – Needham & Company: Just continuing along the same line, can you say what percent of your total revenue last year in '09 came from solid – the solid-state lighting market in terms of your contract revenue in total?
Sid Rosenblatt: In terms of the contract revenue, I don't know the specific number. I would say it's probably close to half in terms of the – between the Armstrong program and a number of other solid-state lighting programs we had. And there are more coming out and there has been more that have been awarded. We see that – really the area that we focused our contract research is on flexible displays and lighting applications. So I think the number is half, I can probably find out exactly what it is for you.
Jim Ricchiuti – Needham & Company: And then Sid, as you look out to 2010, you gave some general sense as to where you think contract research revenue could be. I mean, is this going to be a bigger part of the piece of that revenue?
Sid Rosenblatt: I think it is growing, particularly based upon some of the recent awards that have – we have not entered into contracts with, but there has been an announcement on a deal via website of some awards and then we don't really do a press release until we actually sign the contract. But we see more and larger awards in the solid-state lighting area.
Jim Ricchiuti – Needham & Company: Okay, thanks a lot.
Sid Rosenblatt: Thanks, Jim.
Operator: We'll take our next question from Jonathon Skeels, Davenport.
Jonathon Skeels – Davenport: Hi, guys. What – just back to Samsung, what are the latest monthly shipment numbers that you've heard out of them and what type of plans they have for increasing production in 2010?
Sid Rosenblatt: In terms of published reports, we have heard 2 million to 3 million units per month at this time. And estimates go anywhere by the end of the year of 6 million to 8 million units per month. It – we do know that they are adding equipment and that they are intending to increase their production, but specifics we get from press releases and Display Search, the same as you guys do.
Jonathon Skeels – Davenport: All right. All right, great. Thanks a lot.
Steve Abramson: Thank you.
Sid Rosenblatt: Thanks, Jonathon. And we would like to thank you all for calling in and as you all are very well aware, if you have any follow-up, specific questions, or questions at anytime, do not hesitate to give us a call. We would be happy to talk to you. And thank you for your attention.
Operator: Ladies and gentlemen, this does conclude today's presentation. We appreciate your participation. You may disconnect at this time.